Operator: Good afternoon, and welcome to Shoe Carnival's Fourth Quarter and Fiscal Year 2020 Earnings Conference Call. Today's conference is being recorded. It is also being broadcast via webcast. Any reproduction or rebroadcast of any portion of this call is expressly prohibited. 
 Management's remarks may contain forward-looking statements that involve a number of risk factors. These risk factors could cause the company's actual results to be materially different from those projected in such statements. Forward-looking statements should also be considered in conjunction with the discussion of risk factors included in the company's SEC filings and today's earnings press release. Investors are cautioned not to place undue reliance on these forward-looking statements, which speak only as of today's date. The company disclaims any obligation to update any of the risk factors or to announce any revisions to the forward-looking statements discussed on today's conference call or contained in today's press release to reflect future events or developments. 
 I'll now turn the conference call over to Mr. Cliff Sifford, Vice Chairman and CEO of Shoe Carnival for opening comments. Mr. Sifford, you may begin. 
Clifton Sifford: Thank you, and welcome to Shoe Carnival's 2020 Fourth Quarter and Fiscal Year Earnings Conference Call. Joining me on the call today are Mark Worden, President and incoming Chief Executive Officer; Carl Scibetta, Senior Executive Vice President, Chief Merchandising Officer; and Kerry Jackson, Senior Executive Vice President, Chief Financial and Administrative Officer. As you saw last week, we announced that I will be transitioning to the Vice Chairman role on September 30 of this year; and Mark Worden, currently President and Chief Customer Officer, will succeed me as President and Chief Executive Officer. 
 On today's call, I want to focus my comments primarily on this transition, which has been well planned and marks a new and exciting chapter for our company. I have always had complete confidence in our team throughout your organization. Our stores are run by the most tenured management team in the shoe business. They open the doors every morning as if they're opening their own business. They have passion and skills, which creates an unstoppable combination. 
 We have built the best merchant team in the shoe business, made up of tenured professionals who have industry-leading institutional knowledge of our customers and how they shop. Our management team on every level also has a tremendous track record and passion for the success of this unique concept. 
 This announcement is a culmination of a multiyear succession plan we established when Mark joined the company in 2018, which was aimed at ensuring a seamless transition of leadership. This is critical as we position the company to continue our strong track record of financial and operational performance, while at the same time, maintaining our commitment to our employees, customers, vendors and shareholders. 
 Mark and I have worked closely together over the last several years, and his clear passion for our concept and vision for this business gives me great confidence in his ability to lead Shoe Carnival into our next chapter. His strategic direction, deep knowledge of our customers and unwavering commitment to our employees make him the perfect fit for the job. He has been instrumental in the company's growth since the day we started in 2018. So I transition to Vice Chairman with unwavering confidence that Shoe Carval will not miss a beat, and I have tremendous confidence that Mark will take Shoe Carnival to new heights. 
 We also made several other leadership changes we believe will enhance the current leadership and provide deep bench strength across the organization. Mark will talk more about these changes in his comments. 
 Looking back to my time as CEO, I'm extremely grateful for the opportunity to have led a team as talented as the Shoe Carnival family. We have accomplished so much together both financially and operationally over the last 9 years. 
 From a financial perspective, we grew revenues to over $1 billion, delivered 11 consecutive years of comparable store sales growth leading into 2020, realized best-in-class merchandise margins and maintain disciplined capital management throughout various economic cycles, most recently as it relates to the COVID-19 pandemic. 
 I could not be prouder of the Shoe Carnival team's performance throughout 2020, especially considering the ongoing impact of COVID-19 on the retail industry and broader economy. We saw record results for the year. And because of our strong balance sheet, we were able to keep all our employees working. 
 Operationally, our accomplishments over the past 9 years have been plentiful. First, we relaunched our e-commerce platform, which grew to approximately 20% of our sales. And most importantly, we are ready when our customers needed it most. We also reinvigorated our Shoe Perks loyalty program that grew to 26 million members from 1 million members we could not communicate with. I am happy to say Shoe Perks was responsible for approximately 67% of our overall sales in fiscal 2020. 
 We have also implemented several new systems over the years, including an industry-leading CRM program that is driving sales both online and in our brick-and-mortar stores; a new transportation management system and order management system; and later this year, our buyers will be managing their distribution and orders through our new planning system. These systems have enabled our employees to work more efficiently, saving the company time and resources. 
 We also established several new programs that supported our commitment to our customers, including our SHOES2U program, which opened up total company inventory to all stores. And we were first to offer ship from store, which essentially turned every store into an e-commerce fulfillment center. 
 Our strong fourth quarter and fiscal year 2020 results are true reflections of the resiliency and dedication of our Shoe Carnival team and their unwavering support of our loyal customers. It was just a year ago when we announced the closing of all our retail stores. And as a team, we quickly shifted gears to meet the needs of our customers exponentially, growing our e-commerce business. By June, we have safely reopened our stores faster than any of our competitors. 
 Looking back on what we were able to achieve in the time of such uncertainty makes me incredibly proud to have had the opportunity to lead this organization. 
 Today, as part of the transition, Carl Scibetta, Senior Executive Vice President and our Chief Merchant, will walk you through the merchandise categories. But first, I'd like to turn the call over to Mark Worden to provide an overview of the quarter and an update on our strategic initiatives. Mark? 
Mark Worden: Good afternoon. Before we discuss our record Q4 results, I'd like to recognize Cliff's outstanding contributions to the Shoe Carnival organization. I've been very fortunate to work closely with Cliff over the last 3 years. His deep industry knowledge and leadership in the footwear channel over the past 4 decades set him apart as one of the retail leaders I respect most. 
 Good decisions during his tenure as CEO help make Shoe Carnival the healthy, consumer-centric company it is today. First, investing in consumer technology enhancements put us in a position to succeed during an incredibly volatile market this past year. Making significant investments in our e-commerce platform and customer relationship capabilities are key catalysts to achieving the record results we achieved the last 3 quarters following the pandemic store closures, while at the same time, laying a foundation for continued growth well into the future. 
 Anyone who has met Cliff immediately learns just how passionate and knowledgeable he is about merchandising and the vendor community. He's worked tirelessly over the past 24 years to establish Shoe Carnival as the top destination for family footwear customers that have built long-lasting relationships with our vendor partners. I'm excited to build upon those relationships as we move forward with our strategic partners. 
 I'm honored for the opportunity ahead and to have been selected by our Board of Directors to succeed Cliff as CEO, and I look forward to continuing to partner with him in his role as Vice Chairman of the Board. 
 In addition to the planned CEO transition we announced, I'd like to highlight 3 additional components of our succession plan. These changes further strengthen our leadership team and position us well for the future as we execute our long-term strategic plans. 
 First, I'm thrilled to share that Carl Scibetta, our Chief Merchandising Officer and EVP, has been promoted to Senior Executive Vice President, Chief Merchandising Officer. For the past 9 years, Carl has built a world-class merchandising team and has been a key leader among the Shoe Carnival officer team. His 40-plus years of retail merchandising leadership in, both specialty retail and department stores, will continue to keep Shoe Carnival at the forefront of the industry. I'm excited to work closely with Carl and the vendor community in the years ahead. 
 Second, Marc Chilton has been appointed Executive Vice President and Chief Retail Operations Officer, succeeding Tim Baker effective April 4. This month marked Tim's 50th year in the retail industry and his 32nd year as an operations leader at Shoe Carnival. Tim's contributions to the company have been mainly significant since joining Shoe Carnival in 1989. We have particularly valued his focus on people development and operational excellence, which has provided us with an industry-leading store organization and a deeply talented leadership team as we move forward. Thank you, Tim, for your dedicated service to Shoe Carnival. 
 Marc Chilton has been with the Shoe Carnival team for 27 years in relative increasing responsibility in store operations. Most recently, Marc served as Senior Vice President within operations, working directly with him. He's a respected executive and people leader across the organization and his deep, broad-based experience will be invaluable as we look to grow Shoe Carnival in the coming years. 
 Finally, Patrick Edwards has been promoted to Chief Accounting Officer. Patrick has been an excellent addition to our Shoe Carnival finance team since he joined in 2019. Under Kerry's leadership, Patrick will further bolster an already strong finance organization and at the layer of financial expertise that will enable us to continue to deliver financial strength, discipline and flexibility. 
 Carl, Marc and Patrick, each bring excellent knowledge, focused on driving shareholder value and experience to our leadership team.  And I know both Kerry and I look forward to working closely with them as we move forward. 
 Moving on to performance. I'm so thankful for the continued commitment of our Shoe Carnival team members. Their focus on our customers' experience and delivering operational excellence. 2020 was an unpredictable year, but our team rose to the challenge and delivered value for our customers and our shareholders. 
 The Shoe Carnival brand, unique consumer experience and broad product assortment positioned us very well for growth in fiscal Q4. We delivered record sales and profits during Q4 with comp sales growth of 6.4%; merchandise margins expanded by 160 basis points; and operating income went to the highest Q4 ever, up approximately 114% versus 2019. 
 At the heart of our long-term strategy is providing consumers the preferred shopping experience and product assortment within the family footwear channel. We believe our strong 2020 sales and profit outperformance in the channel reflects our 26 million-plus loyal consumers choosing to engage with Shoe Carnival for their family footwear needs wherever and whenever they chose to over the past year. 
 Throughout the year, we continue to rapidly progress our consumer engagement strategy to develop the leading digital, analytics and customer relationship capabilities in our industry. Despite the pandemic, I'm pleased we surpassed our brand-building strategic plans during the past year.  By the fourth quarter, we have robust consumer data from our new customer relationship platform, which enable highly accretive customer segmentation and targeting capabilities. These new capabilities enable both profitable, new customer acquisition initiatives and loyalty building programs once acquired. 
 Our deep consumer understanding is rooted in our customers' omnichannel buying behavior. We're positioned in 2021 and beyond to unlock significant consumer insights and growth opportunities with our strategic vendor partners. 
 As I transition into my new role as CEO, I'm excited to work closely with Carl and our top strategic partners to create brand value from our deep consumer analytics and capabilities. 
 In addition to providing the preferred consumer experience in the channel, another key part of our strategy is to increase merchandise margins by reducing promotional intensity. The consumer data that we've been able to collect and analyze have enabled a sharp reduction in promotional intensity and the elimination of many low ROI customer promotions and marketing activities. We've pivoted away from a historical heavy reliance on BOGO half-off promotions in the chain for non-peak periods in 2020, instead use our customer relationship platform and analytics to segment and personalize compelling product offers. Eliminating promotional intensity resulted in an increased product margin, up over 300 basis points for Q4. 
 We've been so encouraged by our consumer response to this strategy that we have accelerated our plans. For example, we eliminated all BOGO half-off promotions for the current quarter with continued encouraging consumer results and sales exceeding expectations. 
 Our brand strategy has resulted in expanding and deepening our connections with our 26 million-plus loyalty members at the end of the fourth quarter. We added over 2 million new members or nearly 10% growth in consumers we directly reach year-over-year. For our Gold consumer membership, the fastest [ bunch ] of this group was approximately $70 for the year, generating over $15 more per order than nonmembers. We remain focused on growing our relationship with this segment of consumers and see robust growth opportunities with both our athletic and nonathletic strategic brand partners. 
 Holiday-focused customer acquisition efforts also drove strong results. Consumers who are nonloyalty members grew sales in the teens for Q4, increasing the total year to mid single-digit sales growth. Our targeted digital marketing capabilities were key in acquiring these new customers and converting into record sales levels. 
 Our strategy to rapidly accelerate our digital capabilities and specifically our e-commerce strategic plans far exceeded our 2020 expectations. For the full fiscal year, e-commerce sales grew over $110 million or 175%. In fact, Shoe Carnival e-commerce sales grew triple-digit in every quarter during 2020. Product margin associated with e-commerce sales was up over 300 basis points compared to prior year in the quarter and over 150 basis points for the full year. E-commerce sales represented approximately 19% of company sales for 2020 compared to approximately 6% in the prior year. 
 On the back end, we implemented a new warehouse management system and order management system to enable our long-term strategic growth plans and augmented e-commerce ship-from-store order fulfillment capabilities already in place. 
 Moving on to our long-term brand development and consumer engagement strategy. With such robust consumer insights, analytics and digital capabilities in hand, we're excited to announce a strategic plan to modernize our most profitable stores across the fleet. Our goal is to have approximately 2/3 of our store fleet modernized in the 3 to 5 years ahead. This will be achieved through a robust annual remodel plan, relocations where we have strong customer opportunities in the market but underperforming real estate and reigniting new store growth. We are currently finalizing our beta test mode on store experience and design enhancements and are fairly pleased with our consumer learning. We plan to move ahead rapidly with rollouts this year, assuming COVID-19 does not disrupt any development plans. 
 As we have shared during the past year, we chose to take a conservative capital approach during the pandemic, and we'll continue to do so in relation to new store growth for 2021. Our strategy is to continue to accelerate our store fleet 4-wall profit contribution. In 2021, we plan not to renew approximately 10 leases on stores that do not drive long-term profit potential nor connect with our most valuable consumers. We anticipate opening 1 new store this year. 
 While we are not providing 2022 store opening guidance at this time, our intent is to reignite store growth in the years ahead and to continue to rapidly accelerate e-commerce growth. Teams are mining the rich CRM insights in hand. And as highly profitable real estate opportunities open up in late 2022 and 2023, we plan to pursue store openings within existing operating states as a top strategic priority. 
 Our disciplined capital management strategy resulted in closing the year in our strongest balance sheet position ever. At quarter end, the company had no debt and approximately $106 million in cash and cash equivalents. The strength of our balance sheet coupled with our outstanding team and their dedication to executing our consumer-centric strategy has allowed us to achieve our strongest Q4 operating results in what has been one of the most difficult periods for retail and modern history. 
 Additionally, this healthy position enabled us to return increased shareholder value as our Board of Directors approved the 56% increase in our dividend last week. Kerry will discuss this and other financial updates in greater momentarily. 
 In closing, I'd like to reiterate my gratitude to Cliff for his leadership and his partnership over the last 3 years. Further, I want to offer my heartfelt thanks to the entire Shoe Carnival team for all their hard work over the last 12 months. 
 2020 brought about events that are hopefully once in a lifetime. And our team's ability to serve our loyal customers and come together as an organization was remarkable. Our strategic investments to build our brand, our unique consumer experience, our talented team, strong vendor partnerships and our superior execution have been the cornerstone of our success and continue to be our focus ahead. 
 I'll now turn it over to Carl Scibetta, Senior Executive Vice President, Chief Merchandising Officer, for an update on our product performance and inventory position. 
Carl Scibetta: Thank you, Mark. I'm excited to join today's call and look forward to getting to know each of you more in my new role. Before I get into our performance during the quarter, I'd like to echo Mark's gratitude to Cliff. It has been a pleasure having an opportunity to work with Cliff over the past 8-plus years. His leadership has built a strong company with an outstanding culture that is positioned for growth. Over the past 3 years, working closely with Mark, we've been able to grow synergies within our merchandising, marketing and e-commerce teams. This enabled us to successfully navigate through the pandemic, maximizing sales and margin. This, along with our expanding vendor relationships, has positioned Shoe Carnival to continue to grow through both brick-and-mortar and e-commerce channels. 
 Now turning to comparable store sales by department for the quarter. Adult athletics continued to outperform. The category was up mid-teens overall, driven by strong growth in both women's and men's product categories, which were both up mid-teens for the quarter. We continue to deliver triple-digit athletic e-commerce comparable sales increases. Our leadership position in the marketplace enables us to continue to deliver the broad trend-right assortment our customers are looking for. 
 Sales in women's nonathletic categories were driven by comfort sport shoes, as customers continue to work and quarantine at home. Sales in men's nonathletic categories were driven by boots sales. The increase was from both the work boot category as well as the casual hunting boot category, which were bought as people got tired of being confined in their homes and ventured out for exercise. 
 Consistent with last quarter, dress shoes were down double digits, reflecting a more casual, active lifestyle as many offices remain closed. Kids comparable store sales were up mid-teens for the fourth quarter. Once schools in many markets return to some form of in-class learning, we experienced strong sales in children's casuals and in the athletic categories. Kids nonathletic was up mid-teens because athletic was up low teens. 
 We ended the quarter with inventory down 8% on a per-store basis. The industry is currently experiencing major supply chain issues from the factories to the ports and from the ports to our DC. At Shoe Carnival, we have built an outstanding merchant team. Their experience with our company and their position in the marketplace with our vendors is second to none. We believe in the strength of this team and the fact that we did not furlough our buying staff has given us an advantage with the supply chain. We continue to work closely with our vendor partners to deliver fresh new product and replenish key categories and classifications. We are monitoring our supply chain very closely and reacting when needed. 
 Our increased marketing and analytics capability have given us insights into the results of our promotional activity. We have eliminated most of the storewide global promotions for fall 2020. This enabled us to drive sales and margin growth through targeted promotions while still providing our customers the value they have come to expect from Shoe Carnival. Our plan is to continue this strategy into 2021. 
 I am confident that we have a powerful leadership team in place that will guide Shoe Carnival to great success ahead. Through our best-in-class merchandising, marketing and store teams and our excellent vendor partnerships, we are confident in our ability to build on our success. 
 With that, let me now turn the call over to Kerry Jackson to provide more insight into our financial performance for the fourth quarter and full year. 
W. Jackson: Thank you, Carl. Before I take us through the financials of the quarter, I would also like to express my gratitude to Cliff for his steady leadership. We would not be as fiscally sound as we are today without his guidance and commitment to driving results and improving margins. Under Cliff's leadership, we had an incredibly impressive year given such extenuating circumstances.
 We achieved record net sales of $253.9 million for the fiscal fourth quarter ended January 30, 2021, an increase of $14 million compared to the fourth quarter of last year. Of this increase in net sales, $16 million was attributable to an increase in comparable store sales and $1 million was attributable to the 4 new stores opened since the beginning of the fourth quarter of fiscal 2019. This was partially offset by a loss in sales of $3 million from the 14 stores closed and other noncomp sales over the same period. Comparable store sales increased 6.4% for the quarter on top of the 3.2% comparable store sales increase in the fourth quarter of fiscal 2019.
 Our e-commerce business sustained triple-digit growth and represented more than 19% of fiscal fourth quarter sales. As Mark mentioned, our brick-and-mortar store sales were negatively impacted by customer concern related to COVID-19 and holiday sale crowds.
 Our gross profit margin for the quarter was 30.8% compared to 29.1% in the fourth quarter of last year. Our merchandise margin increased 160 basis points, while buying, distribution, occupancy expense was nearly flat as a percentage of sales. The increase in the merchandise margin was primarily due to lower promotional activity during the quarter but was partially offset by higher shipping costs associated with the increase in e-commerce sales.
 SG&A expenses increased $2.5 million in the fourth quarter of fiscal 2020 to $67.6 million. As a percentage of net sales, these expenses were leveraged to 26.6% compared to 27.1% in the fourth quarter of fiscal 2019. The increase in SG&A expenses was primarily attributable to costs supporting increased e-commerce sales.
 The effective income tax rate for both the fourth quarter of fiscal 2020 and 2019 was 28.8%. For the full year of 2020, the effective income tax rate was 25.8% compared to 21.6% in the full year of 2019. The tax rate in 2019 contains a onetime benefit of approximately $1.9 million or $0.13 per diluted share associated with vesting multiple equity-based compensation awards.
 Net income for the fourth quarter was $7.4 million compared to net income of $3.5 million last year. Earnings per diluted share for the fourth quarter increased by $0.28 to $0.52 per diluted share.
 Now turning to information affecting cash flow. Depreciation and amortization expense was $4.1 million in the fiscal fourth quarter compared to $4.3 million in the fourth quarter of fiscal 2019. Depreciation expense for the full year was $16.1 million compared to $17.0 million for the full year 2019.
 Capital expenditures for fiscal 2020 were $12.4 million, with approximately $5.9 million used for new stores, relocation and remodels. In fiscal 2021, we expect to spend $23 million to $25 million on capital expenditures, with a principal focus on the remodeling efforts Mark spoke about.
 As Mark mentioned, we continue to work closely with our vendor partners to strategically manage our inventory given current supply chain constraints. As a result, we ended the quarter with inventory of $233.3 million, which is down $26.2 million compared to the prior year or 8.0% on a per-store basis.
 As of January 30, 2021, we had no outstanding debt and cash equivalents of $106.5 million. Our borrowing capacity was $98 million at the end of the quarter. Free cash flow was $61 million in the quarter, driven primarily by the reduction in inventory. Due to volatility this year, no shares were repurchased in fiscal 2020. As of January 30, 2021, 50 million was available for future repurchase under our Board-authorized share repurchase program. The company plans to resume the repurchase of shares under the repurchase program in fiscal 2021 under the assumption that general economic conditions will stabilize and the pandemic will have significantly less impact on the company's performance and operations.
 The company paid $5.1 million cash dividends during the fiscal year 2020. The company announced last week that our Board of Directors has approved a 56% increase in the quarterly cash dividend. The quarterly cash dividend of $0.14 per share will be paid on April 19, 2021, to shareholders of record as of the close of business on April 5, 2021.
 Given the continued uncertainty around COVID-19 and its impact on consumer spending behaviors and recent supply chain disruptions, we are not introducing annual guidance at this time. That being said, we are providing our initial view of first fiscal quarter for 2021. The delay in tax refunds along with severe weather throughout most of the country led to a difficult sales month in February. However, in early March, when our customers began receiving their tax refunds and stimulus payments, our sales trends rapidly shifted, increasing to record-setting levels.
 Based on quarter-to-date results, we are currently anticipating a record first quarter in both sales and earnings. If we continue to see positive sales trends for the remainder of the quarter, sales for Q1 are expected to be a minimum of $273 million with diluted EPS of at least $1.40. This is a 54% increase over the $0.91 earned in Q1 of 2019.
 While the rebound in March sales has been strong and concentrated, the month-to-month variability in customer spending we have experienced during the quarter has made predicting the duration of this recent sales intensity difficult.
 My final comments today are about the transitions happening at Shoe Carnival. Cliff opened the call by saying the company is embarking on a new and exciting chapter. I share Cliff's enthusiasm for the future. While Shoe Carnival would not be what it is today without the contributions by Cliff and Tim, they have both planned for this transition by putting in place talented individuals that they can seamlessly pass the baton to. Our management team is strong and prepared for the future.
 This concludes our financial review. Now I'd like to open the call for questions. 
Operator: [Operator Instructions] Our first question comes from Mitch Kummetz with Pivotal Research. 
Mitchel Kummetz: Congrats on the quarter and also congrats to Cliff, Mark and Carl on the transition. Carl, I think you get the short end of that deal, just now you got to be on this conference call. And with that as a transition, I'm going to start with you, my friend. So you're talking about some of the categories -- you kind of went through some stuff on women's nonathletic and men's nonathletic, but I don't think you gave the comps on those. Do you happen to have that? 
Carl Scibetta: Gave comps that were both down on the -- sorry, on the nonathletic for the quarter, comps on women's nonathletic were down low singles; and on men's nonathletic, low singles as well. 
Mitchel Kummetz: Okay. Great. Stimulus, I'll just jump ball for who wants to take it -- actually, maybe, Kerry, could you talk about -- so you've given guidance on the quarter, and that's -- just on a 2-year basis, I think the sales were up 8% from 2 years ago. I think last year is not a very good quarter to compare to. I'm just kind of curious, you mentioned February was a little rough given the refunds and weather, and then March has been good as refunds have come in and stimulus has kicked in. Is there any way you can tell us sort of where you are quarter-to-date on your sales and then kind of what the assumption is for the balance of the quarter, just so we have a sense as to kind of what you're thinking for the remainder of the quarter? 
W. Jackson: Well, we're the same way as you are, Mitch. We look at both comparison to last year, 2020, which is difficult because the stores have closed during this period last year. We're also comparing it back to more normalized 2019. So we are seeing -- as you said, February is tough because of weather, the delayed refunds. Well, in March, as soon as those tax refunds started coming up, plus we had the double benefit of seeing that the incentive checks coming out, so we built into -- implicit in the guidance we gave would be approximately a 19% comp increase against 2020. But a more comparative look would be -- against '19 would be about a 9% comp increase built into our guidance on that.
 Now we're trending higher than that right now. However, we recognize that some of that stimulus and tax refunds and we expect it to slow down as we progress further through the quarter. 
Mitchel Kummetz: Got it. Okay. That's helpful. And then also maybe for you, Kerry. So again, if I look at this versus 2019, the $273 million, looks like sales up 8%. I can kind of back into an EBIT number that implies an operating margin of close to 10% -- not quite 10%, but close to 10%, and that's versus, I think, 6.1% 2 years ago. So that's a pretty big jump. But I'm wondering how much of that -- it doesn't -- I wouldn't think with that kind of a sales increase over 2 years, that a lot of that margin would be coming from occupancy leverage. I would think it's probably coming on the product margin side and maybe having to do with getting rid of all the BOGOs that you talked about. So maybe could you address those margins or kind of how the margins are shaping up from the quarter, assuming that my math is halfway correct? 
W. Jackson: Your math is halfway correct.  You've got it pretty well. But it is being driven by the great margins we're driving at retail. We've been seeing sustained second half increases in our product margins, and we're seeing that flow through into Q1 also. 
Mark Worden: Mitch, it's Mark. If I could just build on the comments, we learned a lot about our customers. And through our analytics, we tested significant reduction in promotional intensity throughout 2020. And to share, this Q1, I shared in my prepared remarks that we eliminated all BOGO half promotion as one example. And in doing so, we continue to be very pleased with the merchandise margin expansion and the sales acceleration. 
 So the strategy is working, and we have great confidence that we can continue to make merchandise margin improvements and lower promotional intensity this year. 
Mitchel Kummetz: Okay. Great. And then, Cliff, maybe one for you. I don't want to let you off the hook too easy. Bankruptcies, store closures, I feel like that's kind of been in the backdrop for the last couple of quarters. I don't know if you -- at the point where you want to speak to that yet. But I imagine it probably helped a little bit in the quarter, it's probably helping in the first quarter. I'm just -- how do you see that competitive landscape right now? 
Clifton Sifford: Just to be honest with, we don't know -- we think the increase that we have today is, a, because we have the right product and the right stores at the right level. So we're in the athletic business. We are in the sandal business. We're in the businesses that the customers are looking for. So I think that is that's number one, two and three. 
 We really have not been able to pinpoint the closures and say, "Yes, that's the reason our business has been driven." It all happened at one time. So our business started to get really good, as you know, last year, midyear and as we reopened our stores early, and it just has continued. 
Mitchel Kummetz: Let me ask one more and then I'll jump back in the queue. Just, Kerry, on the SG&A line, kind of just thinking about the cost structure, your SG&A in 2020, was it -- dollar-wise, was it that different than '19, even though the sales for the year were down close to 6%? I'm just wondering how you're thinking about those SG&A line items in 2021. Can you keep those dollars reasonably flat? I mean assuming you build on the sales, I mean, obviously, in Q1, it looks like your sales are going to be up quite a bit from Q1 of last year. I'm just wondering how maybe permanent are some of the cost cuts that you've taken. And again, it doesn't seem like you guys really cut to the bone, like some companies did in 2020 that -- because your dollars are sort of flattish. 
W. Jackson: Well, they're flattish. What we saw was increased SG&A on a year-over-year basis as a group in Q2, 3 and 4. What we saw during the shutdown is we saw a reduction in SG&A, and that's really where the -- the number that kept it flat with the prior year of '19. So we looked like -- when you true up Q1 to be more in line with the rest of '19, that would be more in line with what you should be thinking about. 
Operator: Our next question is from Sam Poser with Williams Trading. 
Samuel Poser: I -- Carl, I have to ask you the question on your promotion. Is the old -- is the new head merchant better than the old head merchant? 
Carl Scibetta: Well, Sam, I think there's a store in North Carolina you need to ask that question to. She's waiting for it. 
Clifton Sifford: I didn't predict you to ask that question, Sam. 
Samuel Poser: Okay. Anyway, well, speaking of North Carolina, apparently, Nike has made a number of decisions, one of your larger -- to make some cuts, stop selling from retailers later this year and especially a Carolina-based company there.
 Given the 1,000 stores there, and is there anything that could facilitate opening -- getting the store openings going more quickly? It sounds like your back end -- you're talking about back end of '22 to really get going here. 
Mark Worden: Sam, it's Mark. It's a great question. As we said in the prepared remarks, we're taking still a conservative capital approach for 2021, and we're prioritizing our investment on our multiyear strategy to modernize our existing highly profitable stores. We're incredibly excited about the store experience that we are putting in place and want to rapidly roll that out as fast as we can, assuming there's no COVID disruption.
 With that said, Sam, though, we're looking closely at every market we compete in and looking for profitable opportunities where our consumers are there. And if that opportunity presents itself, we're ready to rapidly move back into store growth. As I said, we plan to reignite store growth whether that's late '22 or in '23. That's our intent right now. But if we find something faster, we're ready to move. 
Samuel Poser: And then in -- after the stores reopened -- or let's say, in the fourth quarter, how did this -- I mean how do the stores comp versus -- I mean, are your stores as productive? Are they more productive now than they were in '19, given the -- or are they less because of the influx of e-commerce? And so when you go for the full year and start doing this work, you could really increase the productivity of the stores. I wonder if that's kind of a quick -- can you -- is that why -- how we should think about the increased productivity of the stores?
 And then secondly, how sticky do you think this level of e-commerce revenue is looking forward, I mean, given all the new customers you've gotten and everything else? 
Mark Worden: So during the year, we picked up over $100 million in e-commerce sales or 175%. We did see some switching from our existing stores. We are starting to see the percent of total company stabilize as consumer shopping habits are getting more and more predictable the further we get away from the start of COVID. And we would forecast that the store continues to drive, as we talk about, 4-wall contribution increases as a core part of our strategy in the years ahead. 
 I think the e-commerce -- while we talked about approximately 19% of company value, we see that over the next 2 to 3 years, that incremental sales from e-com to the company will result in it being in the low to mid-20s is what we anticipate in the next 2 to 3 years.
 So this is probably a stabilization year as customers are very excited to get unboxed and get back out there into stores. And we're seeing that tremendous energy in our stores right now, which Kerry discussed. 
Samuel Poser: And then, Carl, given the comps that you've driven, and it sounds like you're driving right now and given all the supply chain issues that are out there, how much have you narrowed the assortment targeted big key items better, using all the data and consumer insights you have versus '19? I mean are the assortments narrow or in the stores? Are you going deeper? Can you give us some color on that? 
Carl Scibetta: Sure, Sam. We started down that road, I would say, really in a big way in '17, and we've continued to pare down the assortments and make big items bigger. And that, since 2019, has continued. And we are in a process now on big key items or big key categories. We continue to accelerate unit sales beyond -- frankly, beyond our projections and where we've been in the past. That will continue to be a core strategy in '21 and beyond. 
Samuel Poser: Great. And the -- I'm sorry, I'm asking so many questions. But the merchant -- the -- okay -- sorry. You're -- when do you expect inventory to catch up here? Or do you think that gross margins will benefit for the entire year because you're still going to be a permanent chase mode? 
Carl Scibetta: I think gross margins will continue throughout the year. We're anticipating increases. Right now, we're anniversarying BOGO with non-BOGO, which gives you a natural margin increase. We're chasing products like everybody else. We're experiencing the same supply chain issues that everybody else is at this point. We're working with the vendors in constant communication. 
 We certainly had a slow start to deliver spring, but I will tell you that the flow of product has ramped up and is consistent with previous years at this point. We hope to get closer each quarter and as we move through the season -- or each month, I should say. 
Samuel Poser: Great. And then lastly, I mean this Nike -- I mean, how is your relationship with Nike right now? Are you planning on putting in those Nike shops -- I think you're adding another 100 stores or so this year. Are you planning on accelerating that as you remodel these -- as you redo the stores and modernize the stores? And then I have one last one for Cliff, just because I have to. So -- but I'll leave it there for that question. 
Mark Worden: Sam, we take great pride in providing unique customer experience, and we are continuing to invest in providing the most differentiated athletic shopping experience in the channel. And we have plans to continue to put that modern store design in as we proceed through the year. 
Samuel Poser: And then, Cliff, given that everybody wants to pass you the baton in your new role as vice -- solely as Vice Chairman, we're changing your name to Harold Hill, and that's what I'm going to leave it with. Congratulations. 
Clifton Sifford: Thank you, Sam. 
Operator: Our next question is from Greg Pendy with Sidoti. 
Gregory Pendy: Just to -- just you're making the decision to pare back on BOGOs at -- using data from arguably an abnormal year in an environment where inventory out there is kind of lean. what type of risk do you think you might be able to manage, I guess, from not alienating a core customer of yours that was looking for that value?  I mean do you think you'll still be able to retain them? Is that a risk that you're aware of and going to manage? Any thoughts on that? 
Mark Worden: Yes. We're monitoring it every week with our 26 million strong loyalty members. We're able to see if their purchase behavior is changing. And if so, we'll adjust our tactics in the future. So far, we tested it throughout multiple quarters at the height of the pandemic, when it was calming down to really low points and holiday, and it works across all of those. And we've decided to test it for Q1. And we've taken out -- all of Q1, and it's worked consistently.
 Now you're spot on, we need to monitor how the customer behavior continues to change as normal like, hopefully, returns very soon. But we're ready to pivot should we need to on a dime. 
Gregory Pendy: Great. And then if I'm not mistaken, you're looking -- the 10 store closings this year, are those natural lease expirations? And I know you don't have mall exposure, which a lot of retailers struggled with. But is there anything kind of thematic in those 10 closings? Maybe there was an anchor that was driving traffic to those types of locations?  Or is there anything with the real estate, I should say, specific to it, that is sort of a trend within those 10 store closings? 
Mark Worden: First answer, yes, they're natural lease end dates. They're stores that simply do not have accretive 4-wall contribution possibilities long-term for us nor that customer base that really fits our CRM profile where we have that opportunity. 
 There's probably not one broad sweeping commonality across them, but there are a handful within that, that are very small format, small square foot stores that simply don't allow us to provide that differentiated unique experience as well as we would like to, and so we are closing those ones. 
Operator: Our next question is from Mitch Kummetz with Pivotal Research. 
Mitchel Kummetz: Just a couple of follow-ups for me. Mark, on the consumer insights, I mean, it feels to me like you guys are still pretty early in that you've added a lot of people to your member program -- your Shoe Perks program, you've got a lot of data. What's the low-hanging fruit over the next year or 2 as you take that information and those learnings? And what can you achieve that's pretty obvious to you guys right now in terms of driving the business? 
Mark Worden: Start with our excitement is we think there's multiple years of comp store growth within our existing fleet that the CRM program will open up and more profit-rich, lower promotional opportunities. So that we can have a continued, sustainable shareholder value. So I think that's the high level.
 Specifically, though, I'm really excited about how we're now able to segment our consumers so that Carl and I can personalize product offers to them. And the big insight that we're shifting away from is using a global offer that gives everyone the same offer because we don't know what's important to the specific consumer. We're now getting into -- I can really think about the specific product, the subcategory and giving them an offer and message that's attractive to them. So I'm very excited about our personalization capabilities and how we can leverage that in the year ahead. 
Mitchel Kummetz: And just to put that in context, when did that start? I mean are you a quarter or 2 into that? Or where exactly are -- what inning are you in that process? 
Mark Worden: Probably second, third inning. Now we have the capabilities of doing it as we're lapping into the second year of our CRM platform. And we have significant years ahead of us to continue to mine insights and grow profits themselves. But it's a big opportunity for us, we believe, for many, many years to come. 
Clifton Sifford: We're learning. We learn something new almost every day. So it's not only as are we in the second or third inning, but in some cases, we're in the first inning because we learn something new about our customers as they continue to shop our stores. And it's just like the BOGO half promotion. By being able to target our customers with specific products that we know or categories that we know that they shop that we were able to eliminate -- continue to eliminate those BOGO half days. 
Mark Worden: Mitch, there's the second thing that I think we're very excited about. And that's with these insights in hand, working closely with our strategic partners on where their consumers can vest, convert and how we can help them acquire the most important consumer to them or reactivate someone. So I think our differentiated digital-first capabilities will really help the partners who we value so much and value us as well. 
Mitchel Kummetz: Okay. And then last question. So we're, I guess, a little over a year into COVID now. And I know your guys' athletic business has been particularly strong. I mean it was -- I think it was already sort of turning that way pre-COVID. And then I think a lot of that would -- you've gotten some good product, whether it's like Court Vision by Nike or whatever. 
 But I'm curious, I think other aspects of 2020 might have been more COVID driven, whether it was like the slipper business or maybe things like hiking boots. I'm curious for Carl, as you think about lapping COVID, how are you thinking about kind of those product opportunities, whether or not you think this year is just going to be kind of a continuation of some of the trends that kicked in last year because of COVID? Or do you think there's actually going to be some shift back to some things that didn't necessarily work as well, maybe not necessarily dress use, but maybe some other stuff that didn't work so well in COVID? But now that people are getting out and getting immunized, and there's going to be social gatherings, types of product there that -- whether it's like going into Easter or Memorial Day or 4th of July, those type of events that you can sort of capitalize on that, that didn't happen last year? 
Carl Scibetta: Sure, Rich. We're seeing right now, obviously, the continuation of the COVID product -- the athletic product and some of the things that drove COVID, and your dead on with the hiking category. What's very encouraging is we're seeing a big uplift in seasonal -- new fresh seasonal product that has been delivered and the customer's desire to go out and freshen up things. So we continue -- we believe that's going to continue throughout the season. 
 The athletic stuff with our increased selection fashion in the athletic business should continue. But we think that seasonal sandal for spring will certainly kick in. It's already kicked in. That gives us great encouragement that they're going to buy those products and attend those events you talked about. I almost don't want to say this, but we're seeing a slight tick-up in some fashion-forward, maybe younger dress shoes today that maybe aren't used for work, but they are used for social occasions. It's a minor tick-up. It's the first one we've seen over a year. So that gives us encouragement that the consumer's mindset is ready to get out there and get back from normal life. 
Operator: Our last question is from Sam Poser with Williams Trading. 
Samuel Poser: Real quick on capital allocation. What's the priority? You said you're going to -- you're reinstating the buyback. Are you willing to buyback? Are you planning on buying back stock around these levels? Or what's the real -- what's the game plan there? 
W. Jackson: So Sam, our priorities haven't changed. First is investing in growth. And as Mark talked about, we invested in a new store design and refreshing our stores. That's going to be our top priority with our capital, and that's why we're almost doubling our CapEx for the year, and that's almost entirely going to the remodeling process. The Board just increased the dividend by 50%, 56%. So they felt that, that was a priority to put that out there and show the long-term belief in the company.
 And the last component of our capital allocation has been buy back shares. We really don't signal when we're going to buy back. Like we said, when we see that the -- there's a clean economy going forward and we feel comfortable with it, then we'll be out there and buying shares back. 
Operator: Ladies and gentlemen, this concludes the Q&A session. I'll now turn the call back over to Mr. Sifford for any closing remarks. 
Clifton Sifford: Thank you. I would again just like to thank everyone for joining us on the call today. I hope you all are staying well. I just want to close by saying thanks to all our Shoe Carnival team and all the work that they've done to elevate this company over the last 9 years and particularly over this past year. We look forward to speaking to you all again at our conference call in May. Thank you, again. 
Operator: Ladies and gentlemen, this concludes today's conference call. You may now disconnect.